Executives: Ali Husain - Director-Investor Relations David A. Zinsner - Vice President, Finance and Chief Financial Officer Vincent T. Roche - President, Chief Executive Officer & Director
Analysts: David M. Wong - Wells Fargo Securities LLC Christopher B. Danely - Citigroup Global Markets, Inc. (Broker) John William Pitzer - Credit Suisse Securities (USA) LLC (Broker) Craig A. Ellis - B. Riley & Co. LLC Blayne Curtis - Barclays Capital, Inc. Ross C. Seymore - Deutsche Bank Securities, Inc. Tore E. Svanberg - Stifel, Nicolaus & Co., Inc. William Stein - SunTrust Robinson Humphrey, Inc. Vinayak Rao - Morgan Stanley & Co. LLC C.J. Muse - Evercore ISI Institutional Equities Stacy A. Rasgon - Sanford C. Bernstein & Co. LLC Romit J. Shah - Nomura Securities International, Inc. J. Steven Smigie - Raymond James & Associates, Inc. Gabriel Ho - BMO Capital Markets (United States) Ian L. Ing - MKM Partners LLC James Vincent Covello - Goldman Sachs & Co. Joseph Blair Werner - Peter B. Cannell & Co., Inc. Stephen Chin - UBS Securities LLC Deepon Nag - Macquarie Capital (USA), Inc. Bill C. Peterson - JPMorgan Securities LLC
Operator: Good afternoon, my name is Jennifer, and I will be your conference facilitator. At this time I would like to welcome everyone to Analog Devices Second Quarter Fiscal Year 2015 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the opening remarks, there will be a question and answer period. I would now like to turn the conference over to your host for today, Mr. Ali Husain, Director of Investor Relations. Please proceed.
Ali Husain - Director-Investor Relations: Great. Thanks, Jennifer. Good afternoon everyone and thank you for joining Analog Devices second quarter fiscal 2015 earnings conference call. We have posted a press release with relating financial schedules at investor.analog.com and I'd encourage you to follow along as we go through our results today. Our agenda for today's call is as follows: First, I will provide a brief overview of our second quarter results, then Dave Zinsner, ADI's CFO, will review our financial performance of the second quarter, and finally Vincent Roche, ADI's President and CEO will provide our business outlook for the third quarter, along with closing remarks. And after our prepared remarks, we will have a question-and-answer session. Now the information we're about to discuss, including our objectives and outlook, includes forward-looking statements. Actual results may differ materially from these forward-looking statements as a result of various factors, including those discussed in our earnings release and our most recent 10-Q. These forward-looking statements reflect our opinion as of the date of this call and we undertake no obligation to update these forward-looking statements in light of new information or future events. Our comments today will also include non-GAAP financial measures, which we've reconciled to their most directly comparable GAAP financial measures in today's earnings release, which is posted on our investor relations website at investor.analog.com. And with that let's get started. Now, as you've likely seen from the press release, after a very good first quarter of fiscal 2015, ADI produced another strong performance in our second quarter. The strength of our innovation, the diversity of our business, and our strong execution drove revenue to a record $821 million, which is an increase of 6% from the previous quarter and an increase of 18% from the same period a year ago. By end market, industrial, automotive and consumer exceeded our revenue expectations for the quarter and offset what was a weak wireless infrastructure CapEx environment. The industrial end markets, which are typically seasonally strong for ADI in the second quarter, grew 11% sequentially and represented 48% of our total sales. All of the major application areas within industrial grew sequentially with the strongest growth coming from the aerospace and defense, instrumentation and industrial automation sectors. By region, sequential industrial revenue growth was strongest in North America and Europe. Now the industrial market is truly the lifeblood of ADI, where we developed and deployed our high-performance signal processing technology and system domain knowledge across our tens of thousands of industrial customers and their myriad applications to help create more intelligent, robust, connected and energy efficient products. Revenue from automotive customers at 17% of sales, increased 13% sequentially, and 3% year-over-year, in a seasonally strong period for ADI's automotive business. Sales increased sequentially across all of our automotive focus applications in powertrain, infotainment and safety with particular strength in both advanced driver assistance systems and in powertrain applications, as car manufacturers respond to consumer demand and pending government mandates that help make vehicles safer and more fuel efficient. The consumer end market, at 13% of sales, grew 15% sequentially and 40% year-over-year, marking the second straight quarter of year-over-year revenue increases in consumer for ADI. Prosumer audio-video was stable both sequentially and year-over-year with portable applications driving our consumer growth this quarter. Our consumer strategy remains the same. We plan applications where our high-performance technology allows us to solve our customers' toughest challenges and where we can make a meaningful difference to the user experience. Revenue from communication infrastructure customers at 22% of sales declined 10% sequentially following a 4% decline in the prior quarter. A weaker than planned wireless infrastructure market, particularly in North America and China drove the sequential revenue decrease. We believe that these declines are temporary and that ADI will continue to benefit as 4G penetration rates increase from their current low levels. Revenue from wireline customers represented about a third of our communications infrastructure revenues and was stable to the prior quarter. So, now I would like to turn the call over to Dave for details of our financial performance in the quarter. With the exception of revenue and other expenses, Dave's comments on our second quarter 2015 P&L line items will exclude special items which in the aggregate totaled $26 million. When comparing our second quarter performance to our historical performance, special items are also excluded from prior quarter results and reconciliations of these non-GAAP measures to their comparable GAAP measures are included on Schedule E in today's earnings release. So, with that, Dave, it's all yours.
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Thanks, Ali, and good afternoon everyone. The second quarter of fiscal 2015 was another very good year for ADI and revenue totaled a record $821 million. Gross margin in second quarter of 66.5% was well within our model range of 65-68% and was up 90 basis points from the prior quarter as factory utilization rates increased to the mid-70%s from the prior quarter's mid-60%s level. Inventory on a days' basis in the second quarter increased by one day to 127 days, and on a dollars basis, increased by $27 million, with approximately half the increase relating to the positioning of inventory for higher expected sales in the third quarter, and the balance of the increase relating to the timing of customer demand. Deferred revenue on shipments to distributors increased by 5%. Most of the increase related to the Hittite product catalog, which was added to our distribution channel in the quarter. On a week's basis, inventory and distribution was lean at approximately seven weeks, down from the prior quarter's approximately eight weeks. Operating expenses in the second quarter increased 2% sequentially, lagging well behind the 6% increase in revenue as we continue to gain more operating leverage in our model. As a percent of sales, operating expense in the second quarter declined 140 basis points compared to the prior quarter. Operating profit before tax as a percent of sales increased 230 basis points from the prior quarter and increased 200 basis points from the same period a year ago, and at 33.7% of sales was well within our operating model range of 32% to 36%. Other expense in the second quarter was approximately $4 million, and was lower than planned on a small gain on investments. We expect our net interest expense to be approximately $5 million per quarter for the remainder of 2015. Our second quarter tax rate was approximately 15%, which we expect will be our non-GAAP rate for the remaining two quarters of the year. Excluding special items, diluted earnings per share of $0.73 increased 16% over the prior quarter and 24% year-over-year, and was near the high end of our guidance range. At the end of the second quarter, our cash and short-term investment balance was $3.1 billion, with $760 million available domestically. We had approximately $870 million in debt outstanding which resulted in a net cash position of $2.2 billion. During the second quarter, capital additions were $49 million, our capital expenditure plan in 2015 is to be between $160 million and $165 million. We have a strong financial model that generates solid cash flows, and we are committed to returning cash to our shareholders. For the trailing 12 months we generated free cash flow of $830 million, or 27% of sales, and returned $800 million, or 96% of that free cash flow to shareholders, in the form of a dividend or share buybacks. In addition, our capital allocation strategy supports a regular dividend increase of a 5% to 10%, and last quarter we raised the dividend 8% from $0.37 to $0.40. Today our Board of Directors declared a cash dividend of $0.40 per outstanding share of common stock, and that will be paid on June 9, 2015 to all shareholders of record at the close of business on May 29. So in summary, this was a very successful quarter for ADI, the strength and diversity of our business combined with our strong operating model generated strong cash flows and converted a 6% sequential revenue increase into a 16% earnings growth. So now I'll turn the call over to Vince for our outlook for the third quarter, which, with the exception of revenue expectations, are on a non-GAAP basis, and excludes special items that are outlined in today's call and release. Vince?
Vincent T. Roche - President, Chief Executive Officer & Director: Thanks, Dave, and good afternoon, everybody. As we've talked about in today's remarks, the second quarter was as you've seen a strong quarter for ADI on several fronts, and I'm very proud of our execution. As we start our third quarter, order rates continue to be stable across the industrial, automotive, and communications infrastructure markets, which leads us to plan for demand in these markets to be similar to the second quarter levels. In the consumer end market, we have had good order growth and are planning for another quarter of sequential growth in that sector. In total we expect revenue to be in the range of $825 million to $865 million. The mid-point of this range represents a 3% sequential increase, and a 17% increase on a year-over-year basis. Given the expected mix in our business, we're planning for utilization rates in our fabs to be slightly lower in the third quarter. As a result, we expect gross margins in the third quarter to be approximately 66%. We anticipate operating expenses to increase approximately 2% to 3%, a modest increase from the prior quarter, primarily the result of a full quarter of annual salary increases that went into effect in April. Based on these estimates and excluding special items, diluted earnings per share is anticipated to be in the range of $0.71 to $0.77 in the third quarter. Beyond these near term events, our basic philosophy, and the cornerstone of our strategy remains the same: superior innovation drives superior business results. We possess the broadest product portfolio system and manufacturing capabilities and high-performance signal processing to solve our customers' toughest challenges at the intersection of the physical and the digital worlds. Our product development strategy is to identify the fundamental challenges that our customers are facing in our target-application areas, and leverage our solutions across as diverse a set of opportunities as possible. This strategy is evident in the breadth of our product portfolio and the diversity of our markets, applications and customers, where we harness the strength of our portfolio and where barriers to entry are high and where our innovation can be sustained. Today, customers are choosing their long-term partners very carefully, and our engagements with them are occurring earlier and earlier in their innovation cycles. And our collaborations are becoming longer term in nature. There is no limit to the level of innovation that they are demanding from ADI, and we're responding by continuing to push the boundaries on technologies, products and systems engineering. An example of this approach in action is our acquisition of Hittite, where we are building an RF and microwave signal processing portfolio that makes ADI even more relevant to our customers, and helps them solve their ever-increasing design challenges. Our brand remains stronger than ever, and our employees are engaged and passionate about our customer's success, all of which provides us a terrific platform upon which to continue building our strong franchise. Our drive for innovation and engineering excellence, and our deep systems and applications domain knowhow enable ADI to stay ahead of what's possible. We are focusing on the right markets and products that will drive sustainable and profitable growth and superior shareholder returns well into the future, and I firmly believe that our best is yet to come.
Ali Husain - Director-Investor Relations: Great. Thank you, Vince. So, everyone, during today's Q&A session, please limit yourself to one question. We're going to run today's call until 6:00, so after you ask your primary question, please re-queue if you'd like to ask a second question. The reason we do this – we run our call in this format is that everybody gets a chance to ask at least one question. So with that, operator, let's start our Q&A session.
Operator: Our first question comes from David Wong with Wells Fargo.
David M. Wong - Wells Fargo Securities LLC: Thanks very much. You were talking about how your gross margin will drop a bit because of loading, although, of course, it's difficult to forecast what revenues are going to do going forward. Do you expect to be able to raise your fab loadings going forward after this current quarter? Do you expect your inventory to where you want it to be at the end of this quarter?
David A. Zinsner - Vice President, Finance and Chief Financial Officer: I wouldn't say that I anticipate inventory to be where we want it to be. But a lot of why our inventory is where it is, is not related to running the fabs hotter than expected. It really is about, in fact most of it is actually wafers we outsource externally. So I think a large part of our kind of utilization is driven off of the industrial business. And depending on how that business goes, that would somewhat determine how our loadings go. But we're obviously expecting that business to do well over time. And we anticipate that our fabs will continue to increase over time, the utilization levels. So I think that would be over time a positive impact to the gross margins.
David M. Wong - Wells Fargo Securities LLC: Great, thanks.
Ali Husain - Director-Investor Relations: Yeah, David, this is Ali here. I would just add that look at only the third quarter for us, we tend to do some retooling anyways in our fabs, so it tends to be a slower quarter on the utilization side as a result of that. So I think it's kind of a seasonal thing. And the other thing I'd add is on the gross margin line: we're running our business to run and operate at gross margin model ranges of 65% to 68%, and so that's still the case and that will still continue to be the case going forward. So, thanks for your question, David. And we'll get to our next question, operator.
Operator: This question comes from Chris Danely with Citigroup.
Christopher B. Danely - Citigroup Global Markets, Inc. (Broker): Hey, thanks, guys. I guess just as a related question, can you give us your expectations for the relative growth rates of the end markets I guess for the rest of the calendar year? And then if you would maybe talk about your expectations for relative growth rates longer term, say for the next one to three years from the end markets.
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Well, I think it's safe to say, given that the third and fourth quarter are usually good quarters for consumer, that as we sit today with the limited visibility that we always have in the semiconductor space, that we would expect the consumer business to do quite well for the latter half of this year. I think industrial generally sees, on a half year to half year basis generally starts to flatten out for the second half of the year. That's generally true of the automotive space as well. And in the communications business, I would say is a wild card. We do expect this to be a temporary perturbation that we're experiencing right now in the communications market, and that the long-term trends to build out infrastructure around the world still exists, and the need for more data or higher data rates still exists. So I think it's matter of when on the communications business, but that should come back at some point, and may indeed come back in the fourth quarter. Longer-term, we hope all of the businesses grow quite well over the next three years. And I think as we look at the pipelines in each one of our businesses, and Vince and I just reviewed it a few weeks ago with the team, we're excited about every one of our end markets and the things that are getting done, the incredible innovation that's going on together with our customers. And so we expect all of them to do quite well.
Vincent T. Roche - President, Chief Executive Officer & Director: I think as well, Chris, we've put a number out there. We've said that our expectation is that we should be able to grow this business and aggregate it two to three times global GDP, and we stick by that. My sense is if the markets behave, we'll be on the higher end of that.
Christopher B. Danely - Citigroup Global Markets, Inc. (Broker): Great. Thanks, guys.
Ali Husain - Director-Investor Relations: Thanks Chris, and we'll get to our next question, operator.
Operator: This question comes from John Pitzer with Credit Suisse.
John William Pitzer - Credit Suisse Securities (USA) LLC (Broker): Dave, you've always said that mix of business doesn't have a significant impact on the gross margin line, but if you look at the strength in the consumer going into the July quarter, and the incremental gross margin in that quarter being relatively weak, I think I understand the issue with utilization. But can you remind us again how consumer influences gross margin longer-term, and I guess, given where it is today as a percent of revenue, how big would you want consumer to be before it got sort of too big?
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Well, on the gross margin front, I think what we're talking about with our guidance is we'd be 50 basis points off the second quarter gross margin level and roughly probably half of that's impacting us from utilization and probably half of that is mix, and so it's again, relatively modest impact that we get off the consumer business in terms of mix. We actually will take all comers in terms of good profitable innovative type revenue streams. So we don't – we're not going to arrest any market that's going to do well for us and drive revenue growth and, more importantly, earnings growth. I think that, though, just based on the way we're investing our R&D, which has been very balanced across all of those end markets I think you'd expect that we'll have a very balanced growth trajectory for all of the businesses, and thus you probably won't see significant differences in percentages by end market over time.
Vincent T. Roche - President, Chief Executive Officer & Director: To add a little more color to what Dave has just said, we're leveraging a platform of technology for the portable space in particular that is based upon our many, many years of developing precision signal processing technologies for many different types of applications within portable devices. So, as always, we're solving the toughest problems that our customers can throw at us, and we're looking for sustainable innovation. We're looking for sockets where we can sustain a position for generations to come. So that approach will give us the kinds of ASP's and the kinds of margins that we find attractive to our business overall.
John William Pitzer - Credit Suisse Securities (USA) LLC (Broker): Thanks, guys, that's helpful.
Vincent T. Roche - President, Chief Executive Officer & Director: Thanks.
Operator: And this next question comes from Craig Ellis with B. Riley.
Craig A. Ellis - B. Riley & Co. LLC: Thanks for taking the question guys. I wanted to focus a little bit on a follow-up to the points that were just being made. In the consumer business, there have been some tear-down evidence of a marquee design win for your product. Can you talk about your ability to drive your technology across a broader base of both customers and applications?
Vincent T. Roche - President, Chief Executive Officer & Director: Yeah, as I've just said, we're leveraging technology that is primarily precision centric. That we, for example, if you look at our philosophy in general, how we do the innovation inside the company, we generate, very often break-through process technologies, break-through circuits, break-through products from which we build platforms, and ultimately those platforms are purposed into industrial automation, into battery management in cars, into portable devices in consumer. So it's very much a platform play, and where we can leverage the quality and the strength of our technology, and solve really difficult problems in those areas, we build products very often that sometimes go into a catalog, and sometimes are purposed for those individual applications. So that's the philosophy, and our technologies as you know, we've got more than 20,000 product SKUs in the catalog of ADI. We've got about 100,000 customers across many, many different applications. So that's been the approach in the past, it's served us very, very well and I believe that approach will serve us very well in the future.
Ali Husain - Director-Investor Relations: Thanks, Craig. And let's get to our next question, operator.
Operator: And your next question is from Blayne Curtis with Barclays.
Blayne Curtis - Barclays Capital, Inc.: Thanks. I just actually wanted to follow up on that. As you look at the consumer space, you have been able to put up a good barrier from competition in industrial type markets. When you look at consumer, you are leveraging that precision signal expertise, do you think you can enjoy similar barriers to entry, and if you could kind of highlight the competitive landscape in portable applications?
Vincent T. Roche - President, Chief Executive Officer & Director: Well, the portable landscape itself has a lot of different modalities within. There's many different sensor types, many, many different types of media. So, as I said, we have very much picked out areas of the portable space where the problems that are really important to our customers to solve, to develop a really high-quality user experience, those problems are very, very tough, and so we are pushing our technology right to the edge. We're living at the edge of the technology. And we're enabling certain features to be provided in these systems. That's where we like to play as a company, whether it's industrial, automotive, consumer, communications infrastructure, and we apply that everywhere we go. That's the philosophy of the company. We like solving tough problems at the intersection of the physical world and the world of digital or virtual.
Blayne Curtis - Barclays Capital, Inc.: Thanks.
Ali Husain - Director-Investor Relations: Thanks, Blayne. Get to our next question, operator.
Operator: And this next question comes from Ross Seymore with Deutsche Bank.
Ross C. Seymore - Deutsche Bank Securities, Inc.: Hi, guys. Just a question on the cash return. You guys have done a great job over time doing that, and I think you've laid out clear targets. When we boil it down between the buybacks and the dividends, I think you've said in the past you have roughly a third of your free cash flow generation is onshore, and by that math, it looks like your dividend is actually more than your onshore. I know you have a ton offshore, but just talk about how you balance that with the statement you made earlier in the call about increasing your dividend each year.
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Yeah, I mean, well, we obviously have a U.S. entity that generates cash flow, and so some of the dividend is supported by how much of the U.S. cash flow is generated. Beyond that, as you've probably noticed, we have added leverage at times. I think we have a couple of bonds now outstanding to bulk up the cash reserves of the U.S. entity, and we utilize that cash as well to fund the dividend and buyback, and of course offsetting that, the international entity accumulates cash, so net-net, we have a pretty good balance sheet, pretty conservative balance sheet, but we do use leverage on the U.S. balance sheet in order for us to fund the buybacks and dividends to create the share – or cash return that the shareholders want.
Ross C. Seymore - Deutsche Bank Securities, Inc.: Okay, great. Thank you.
Operator: And this next question comes from Tore Svanberg with Stifel.
Tore E. Svanberg - Stifel, Nicolaus & Co., Inc.: Yes, thank you. So, I just had a question on your guidance, and I do recognize that most of your end markets are sort of moving into flattish seasonality, but just based on conversations you're having with customers, especially those in the industrial space, I mean, does it feel like they are upbeat, or are they being guarded, cautious? Just trying to understand directionally what your customers are feeling after what was a fairly turbulent March quarter.
Vincent T. Roche - President, Chief Executive Officer & Director: Yeah, I think there's kind of two sides of the conversation with industrial customers: one is the long term, and how we're working together to generate great innovation in industrial instrumentation and so on and so forth. We've had a very, very good industry quarter in the quarter just gone. Sequentially it was strong. It was up considerably year-over-year, and I think it's really going to be a question of how well the macro environment behaves. So, my sense is it's stable. We see it in the order rates and we hear it in conversations with our industrial customers as well.
Tore E. Svanberg - Stifel, Nicolaus & Co., Inc.: Thank you.
Operator: This question comes from William Stein with SunTrust.
William Stein - SunTrust Robinson Humphrey, Inc.: Great. Thank you for taking my questions. I'd like to ask a bit about the automotive end market. You mentioned that there were some pending government mandates in autos. Is that Euro 6 or is it something in the U.S.? Any color would be helpful. Thank you.
Ali Husain - Director-Investor Relations: Hey, Will, it's Ali here. So, yeah, I think specifically what I was mentioning in the prepared remarks is certainly around Euro 6. It's also around the CAFE standards in the U.S. that are coming online. But I think I did mention government mandates, but I think it's above and beyond that, right. So, there's NCAP standards, there's five-star ratings, and I think a lot of the car manufactures are really angling to hit those ratings, get those various certifications, because I think it really helps them to differentiate their products with the end consumer. I think those are the kinds of things that are coming online. And, interestingly, customers are also adding the various options, right? So, something may be part of a particular government mandate, be part of a particular NCAP program, but customers are actually now, particularly in the premium vehicles, are opting for the various functionalities, and so I think that's also been really good in driving our business.
Vincent T. Roche - President, Chief Executive Officer & Director: To add a little more color there to what Ali has just said. So obviously car companies, it's important for them to comply with government regulations, but car companies are in a massive transformation mode. I mean, they're all trying to become IT centric, because that's how they're really building value into the products that they're developing and delivering. And I think there's many, many years yet of head room to innovate in cars as the OEMs themselves are trying to automate and electrify everything they can inside the car. So I think that's more the driver of innovation than regulation.
William Stein - SunTrust Robinson Humphrey, Inc.: Okay. Thank you.
Operator: And this question comes from Craig Hettenbach with Morgan Stanley.
Vinayak Rao - Morgan Stanley & Co. LLC: Hi, this is Vinayak calling for Craig. I had a follow-up on automotive, like solid sequential growth this quarter. And when you look at the portfolio, you're playing in the right applications. When I look at the growth on a year-over-year basis, the growth has kind of slowed down to the low single-digit range from high single digits, double digits in the prior quarter. How should we think about growth like in the intermediate to longer term in automotive?
Vincent T. Roche - President, Chief Executive Officer & Director: Yeah, so, look, we've had a very, very strong growth pattern in automotive over last several years. We've been growing at a compounded growth rate of around 20% over the last five years, and when I talked earlier on about the aggregate expectation for growth for ADI, I talked about two to three times global GDP as being kind of a good benchmark. And my expectation in the years ahead is that given where we are now that the higher end of that growth expectation is what automotive will deliver for ADI. So I think that's how to think about it.
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Thank you.
Operator: This question comes from C.J. Muse with Evercore ISI.
C.J. Muse - Evercore ISI Institutional Equities: Hey, good afternoon, thank you for taking my question. I guess my question's on the consumer side. Great job in terms of that business finally triumphing and some interesting wins that you've alluded to in the past. Curious what kind of growth we could see for that business here in calendar 2015? And based on that kind of growth, what kind of impact would that be, all things equal, in terms of impact to gross margins? Thank you.
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Well, as I mentioned on the gross margin front, most of these businesses are pretty close to the corporate average. So within 20 basis points, 30 basis points. It's not much different. I think we'll have to defer until next quarter to really give you I think a good sense of the full year of growth rate of consumer. We're just not ready to provide complete guidance out through the year on any of our businesses, because we just don't have that visibility. I think it's safe to say, though, that as we sit today, normally consumer has a seasonally strong fourth quarter, and that's kind of how we're building the internal plans at this point. But we'll wait until the third quarter is behind us. We'll give you some better clarity around the fourth quarter and that'll give you a sense for the full year growth rates.
C.J. Muse - Evercore ISI Institutional Equities: Thank you.
Operator: This question comes from Stacy Rasgon with Bernstein Research.
Stacy A. Rasgon - Sanford C. Bernstein & Co. LLC: Hi guys. Thanks for taking my question. I had a question on the shorter-term outlook here. So, obviously, very strong, consumer was up 15% this quarter, you seem to be guiding it up more than 20% next quarter. Flat in the rest of the other businesses. You're talking about core industrial and auto again usually seasonally weaker in the second half. Comms is a wild card. You're taking their internal utilizations down, which to me suggest maybe a little bit more caution potentially in those core businesses. I guess, do you think it's possible – can we actually see growth in the second half outside of consumer, for the rest of your businesses? And would you say your outlook for the second half in industrial and auto today is maybe better, worse, or the same versus where it was three months ago?
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Well, I mean, even if industrial stayed relatively flat through the rest of the year, they'd be up, because the first quarter was a pretty down quarter for industrial as it usually is. So I guess the answer to your first question is yeah. I mean, I think there is certainly an expectation, or could be an expectation that we could see growth second half over first half of the core businesses. What was the second part of the question, Stacy?
Stacy A. Rasgon - Sanford C. Bernstein & Co. LLC: I'm sorry. Just, would you classify your sort of industrial and auto kind of core outlook into the second half today better, worse, or the same as where it was three months ago?
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Yeah, I think we generally are in the same range that we expected coming into the year. This is – obviously there's all these crazy macro indicators, some of which contradict other macro indicators. The best we can do is look at our order flow. And I think recently the order flow has been pretty stable. We did have maybe a weaker February partly due to the Lunar New Year, I suspect. But outside of that those businesses have been pretty stable all the way up until today. So, of course, we don't know how things will – with 100% confidence how things will look like going forward, but just based on the customer input, what we've heard from our distributor partners, and what we're seeing in terms of the order levels, I think it's a pretty stable environment.
Stacy A. Rasgon - Sanford C. Bernstein & Co. LLC: Thank you.
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Sure.
Operator: And this question comes from Romit Shah with Nomura Securities
Romit J. Shah - Nomura Securities International, Inc.: Yes, thank you. Vince, given the deployments, the LTE deployments, that we've seen already some of your competitors are a little bit more guarded about their communications businesses recovering over the next year, and I'd be curious why you're more optimistic? Thank you.
Vincent T. Roche - President, Chief Executive Officer & Director: Yeah, well, look we're at very, very early stages of 4G build-out across the globe. The penetration rates are still very, very modest. There's a long, long way to go. We've obviously had the short-term wobble, but that is short-term. I mean it's really – it's centered around a couple of carriers, behavior of a couple of carriers that had a strong ripple effect throughout the entire market. So I think the long-term prognosis in terms of the build out of hardware infrastructure to be able to deal with the bandwidth, with the data capacity requirements, there's no question about that. I think also we talked on the last call about the emergence of small cells, and we are very, very well positioned in the small cell sector that will compliment the strength that we have in the macro area, so we've a stronger product portfolio than ever, we're very, very well positioned with all of the OEMs across the globe. So I believe the short-term has really been, as I said, a behavior issue with a couple of carriers, but I think in the medium and long terms this is a great space to be. And I think we're going to see a recovery here sooner than later.
Romit J. Shah - Nomura Securities International, Inc.: Thank you.
Operator: This question comes from Vivek Arya with Bank of America.
Unknown Speaker: Hi, thanks for taking the question. This is Shankar on behalf of Vivek. I just want to – I have a question regarding Hittite and its contribution for this quarter related to the prior quarter. And can you talk about how the split has changed between the communication and the industrial? My understanding is 40% is in industrial and 60% is in communication.
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Okay. Okay, let me take the first one. The revenue growth sequentially of the Hittite business was basically the same as the total company's. So it performed exactly as expected, and we're very pleased on how they did on a top-line basis. Also we were expecting for 2015, I think when we originally talked about the Hittite acquisition that it would be kind of in the high single digits in terms of accretion. And I probably updated this last quarter, but I would just tell you that it looks more like it's in the 10% ZIP code this year, and we feel really good about Hittite's accretion for next year, which is likely to be in kind of the mid-teens. So from that perspective it's going quite well. The business had – I think that's probably fair to say – had a bit more industrial as a percent of revenue versus communications. And obviously communications wobbled for us, it wobbled a bit for Hittite, the Hittite portion of the business as well, not surprisingly. But one of the areas of the industrial space that did particularly well for us this quarter was the defense business, and that is where Hittite had very good exposure. And so they definitely knocked the cover off of the ball in that category within the industrial space, and, so, it did quite well.
Unknown Speaker: Thank you.
Operator: This question comes from Steve Smigie with Raymond James.
J. Steven Smigie - Raymond James & Associates, Inc.: Great, thanks. Thanks, guys. I just wanted to follow up a little bit on the Hittite accretion question. Dave, I was hoping you could talk a little bit about what we should think about OpEx over the next six quarters, if your OpEx grows something maybe half the growth of revenue, does that suggest we should model something even less growth on OpEx. Is that the right way to think about it?
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Well, I think for the most part, most of the OpEx benefits of the Hittite acquisition are kind of in. What synergies we got from an operating expense standpoint, I think pretty much were captured by the time the first quarter ended. There might be a little bit, but it's not enough to move the needle for the total company in terms of OpEx. Where the next wave of synergies comes from with Hittite is in the cost of manufacturing, and that's as we transition their test operations from Chelmsford to the Philippines. And so really where you see the next wave of benefit is on the gross margin line and not the operating expense line. So personally I think your rule of thumb, roughly, OpEx growing at roughly half of the rate of revenue over time probably makes a lot of sense. Certainly there'll be quarters where that doesn't necessarily happen, and there will be quarters where we do a little bit better than that, as we did this quarter, but over the course of several years, I think that that's a pretty good rule of thumb.
J. Steven Smigie - Raymond James & Associates, Inc.: Okay, great. Thanks. And then just a quick follow-up. As I think about industrial, it seems like medical could potentially become a bigger area. You guys talked about some very interesting medical solutions at Analyst Day. Does medical become 5% of revenue sometime in the next year or two, or is it more – it will still take ten years to get that, to be a big percentage of revenue?
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Well, I'd say we're not – we wouldn't break it out for 5% revenue. So it's a healthy business today. Where we might break it out as separate category – thank you. Where we might break it out as a separate category is when it got closer to the kind of 10% category. That would be kind of the reason to bring it out. But it's actually a pretty meaningful part of the revenue particularly of industrial.
J. Steven Smigie - Raymond James & Associates, Inc.: Okay. Great.
Vincent T. Roche - President, Chief Executive Officer & Director: I think, just to add a little more color there. It's a space with tremendous potential. It's the one area of our business where technology in many, many ways, IT is going to be the solution to many of the problems to be able to produce the kind of diagnostics that are important for healthcare, even for wellness and healthcare management. And to solve the cost problems that are just really crucifying that industry. So it's very, very important to the overall delivery of healthcare from a performance and cost standpoint. It's a modest investment for ADI, but we're very excited about many of the things we're doing in delivering photonics solutions, for example, in the area of CT and MRI scanners. So big iron is an important part of what we're doing. We've built some really enabling technologies in digital X-ray that are starting to ramp up into decent sized revenues, and of course there's the vital signs monitoring for kind of consumer plus applications and moving into clinical grade healthcare over the coming years. So there are several areas with a very modest R&D spend that is allowing us to create tremendous leverage again off the technology platform that we've developed. So it has all of the attributes that we look for in terms of hard to solve problems, multiple generations of sustainability. Good ASP and margins, so I think it's a terrific space. And it's one of these spaces where you really have to take a long-term view to playing in. Because things don't happen overnight, but I think we're very well positioned and excited about the future there.
J. Steven Smigie - Raymond James & Associates, Inc.: Great. Thank you.
Operator: This question comes from Gabriel Ho with BMO.
Gabriel Ho - BMO Capital Markets (United States): Hi this is Gabriel calling in for Ambrish. Thanks for taking our question I have a follow-up on the communications end market, I think you mentioned during the Q&A session you are well-positioned in small cells, and I think also you mentioned before that you see 4G has a higher, 20% to 30% higher opportunity than 3G. So how should we think about the opportunity in the small cells as it ramp as opposed to 4G and 3G?
Vincent T. Roche - President, Chief Executive Officer & Director: Yeah, it's very hard to say. I mean, there's definitely – the introduction of these small cells – by the way, when we talk about small cells, I should make it clear, we are not talking about femtocells. We are talking about high-performance infrastructure-related small cells. So I want to make that clear. The introduction of those small cells, we've said for several quarters now, we believe that the second half of this year we'll see the introduction in a meaningful way of these products, and that indeed now is beginning to happen. So I think second half of 2015 is when we'll see a meaningful introduction of those products. So, there's no precedent in terms of ASP increase for those products over the prior year, there really wasn't a prior, it's all been macrocell to date. But what we have seen, of course, and macro is an increase of 20% to 30% in bill of materials value to ADI based on the extension of our portfolio, and the integration of functions into our solutions there.
Ali Husain - Director-Investor Relations: Gabriel, this is Ali. I would just point out. I think the long term trends of this market are terrific. I mean, you look at 7.1 billion subscribers out there, 4.5 billion are still on 2G. North America, barring the kind of the short-term perturbation this quarter, mobile data in North America is growing 50% year-over-year, penetration rates here are set to move higher over the next few years, and China is on this multi-year 4G FDTD build. So I think we're in the infancy here. And I think the points that Vince made are absolutely correct. Because you have the macro coming in. You have the small cell layering in on top of that I think it's going to be a great market for ADI for many, many years to come. Thanks, Gabriel. We'll move on to our next question.
Operator: This next question comes from Ian Ing with MKM Partners.
Ian L. Ing - MKM Partners LLC: Yes, thanks. Could you talk about your ability to handle volume ramps in portables? This is something you've done in the past, but not more recently? So, would you say you've been audited pretty well on manufacturing capabilities to fulfill requested lead times? Thanks.
Vincent T. Roche - President, Chief Executive Officer & Director: Yeah, we have one of the best manufacturing organizations in the world of semiconductors. We have a manufacturing organization that's been consistently irrespective of volume or market, we've been able to deliver greater than 95% of our products within six week lead times, no matter what the perturbations in markets, with sub-one-part per million quality level. So we're very, very agile in terms of our manufacturing capability. In the case of the consumer area, we're leveraging external foundries, and external – backend manufacturing and test capabilities. So, as I said, our supply chain is second to none in the industry, very agile, and we have a lot of experience, by the way, of playing in these consumer markets over many, many years. So, we're very, very much up to the challenge and pleased with where we are.
Ian L. Ing - MKM Partners LLC: Great. Thanks, Vince.
Operator: This question comes from Jim Covello with Goldman Sachs.
James Vincent Covello - Goldman Sachs & Co.: Hey, guys. Thanks so much for taking the question. I appreciate it. I was wondering if you could give us a little bit of insight in terms of how you're going think about the tradeoff between revenue growth and gross margins as you ramp some of your big consumer opportunities. Do you think you'll prioritize the revenue growth or would you prioritize kind of holding the line at a certain level on gross margins as you face the inevitable cost pressures in the second and third generation of these devices that the big customer kind of drives?
David A. Zinsner - Vice President, Finance and Chief Financial Officer: I think we feel pretty confident that we can stay within the range of our gross margin target, which is 65% to 68%. But ultimately, we're about growing earnings at 8% to 15%. And so we certainly want to be on the higher end of that range if we can. And that's number one priority. What Vince I think said in the prepared remarks, I think he said – sprinkled through his answers on questions today, has been that we're very focused on innovation, and when you're focused on innovation, you don't necessarily see the competitive pressures that people see in every market that we participate in, because, if you come out with commodity parts in any of these markets we're in, you're going to find a lot of price pressure. What we try to do is stay on the innovation curve, ahead of the innovation curve, we get paid for that. We have superior – what we believe is superior R&D thrown at these problems. And so I feel pretty confident that you're not going to see us wobble away from on the gross margins.
James Vincent Covello - Goldman Sachs & Co.: Very helpful. Thank you. Good luck.
Ali Husain - Director-Investor Relations: Sure.
Operator: And this question comes from Joe Werner with Peter Cannell & Company.
Joseph Blair Werner - Peter B. Cannell & Co., Inc.: Thank you very much for taking my question. I guess I'm turning to the balance sheet, and we all know we have interest rates at the lowest level in our lifetime, yet I see that we have an exorbitant amount of cash at this time. At a time when many companies are borrowing money, we have cash that is earning very little return for our shareholders. So I wonder is there any thought being given to the idea of maybe borrowing a couple billion dollars instead of having a couple billion dollars on the balance sheet? Maybe – I remember when it wasn't long ago when the company had about 400 million shares outstanding, today it's close to the – got down to 300 million shares, now it's been creeping upwards to, well, I see 312 million on a basic number, but 317 million on a fully diluted number. By my calculation it could be down to about 250 million if we took on about $2 billion of debt and it swung the balance sheet. In about $4 billion, we could reduce our share count by about 20%, increase our earnings by about 20%. What type of response would the board have to that type of thinking?
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Well, I appreciate the question, Joe. Obviously we're constantly looking at trying to optimize the balance sheet. Obviously part of the challenge is the fact that a majority of that cash is offshore, and isn't easily accessible, although it can be accessed. And we have to balance, I guess, three priorities. One is, I guess, a two-part priority which is to return cash to shareholders, focus first and foremost on the dividend, but also on opportunistic buybacks. And if you look at our cash balance probably back, I don't know exactly when that was, 2005 or something, I think we have come down quite a bit in terms of cash balances. The other priority is obviously to augment what we do organically in terms of development, with some inorganic, call it, development, Hittite being a perfect example. So at one point, we were at, I don't know, a year and a half ago, we were probably at $5 billion of cash, and we brought that down to $3 billion. It didn't necessarily reduce the share count, but I think, dramatically improved the earnings leverage within the company by adding incredible technology, very synergistic with what we're doing and also accretive right out of the gate. So, that's the kind of balancing act that we have as we kind of manage the capital structure. But I think as we look over the long term our goal is not to be accumulating tons of cash. It is to be very judicious, but very shareholder friendly in terms of returning cash, and also to augment that with M&A to continually drive the earnings growth. And so I don't think that we're just sitting here trying to collect the relatively small amount of interest income we can get on this cash balance. That's certainly not our goal. So we hear what you're saying. It's definitely something we're paying a lot of attention to internally. It's definitely something that the Board pays a lot of attention to when we meet with them. And I think overtime you'll be quite happy with the end result of where we're headed.
Joseph Blair Werner - Peter B. Cannell & Co., Inc.: Thank you very much.
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Sure, thank you.
Operator: And this question comes from John Pitzer with Credit Suisse.
John William Pitzer - Credit Suisse Securities (USA) LLC (Broker): Yeah, guys, thanks for letting me ask a follow up. Dave, just relative to that consumer mix, I think there have been a lot of questions about the gross margin impact, I'd be kind of curious relative to the op-margin impact. How do we think about kind of the OpEx around this consumer opportunities that tend to be fairly significant unit-volume opportunities where you're kind of leveraging core IP that you've developed in other areas?
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Yeah, I mean, I think we'll see in the future as to how the consumer business grows and how fast that can grow, but I think it's safe to assume that if consumer is growing at a reasonable clip, that we'll get very good leverage on that and very good fall through to the bottom line. And that will be accretive to our operating margins number. There's no question that that's the model.
John William Pitzer - Credit Suisse Securities (USA) LLC (Broker): And then Dave if I can sneak a quick one in, on the step-up of $5 million on deferred because of Hittite, is that now the full impact of Hittite? Or should we expect to see more in the July quarter going forward?
David A. Zinsner - Vice President, Finance and Chief Financial Officer: No, I think that we got all of the inventory generally in the places we want with distribution or with our distributor partners with regards to Hittite products, so I think we're going to see the deferred margin number kind of ebb and flow with how the distributors themselves are managing their inventory and how their point of sales are going.
John William Pitzer - Credit Suisse Securities (USA) LLC (Broker): Perfect. Thanks again, guys.
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Thanks.
Operator: This question comes from Tore Svanberg with Stifel.
Tore E. Svanberg - Stifel, Nicolaus & Co., Inc.: Yeah, I just had a follow up on your consumer/medical business. I mean, right now your medical revenue is embedded in industrial, but if you look some of your consumer opportunities there seem to be like a convergence between medical and consumer. So I'm just wondering as we sort of go down the road the next couple of years, how are you going to be reporting this to the Street, given the convergence that is currently happening?
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Yeah, just to be clear, we internally look at the healthcare business in total. And that's how it's managed internally, which is the way Vince was describing it. But when a product is targeted to a consumer customer, we already classify it as a consumer product, and so it is in the consumer category today.
Tore E. Svanberg - Stifel, Nicolaus & Co., Inc.: Okay, so even though eventually it's healthcare-related, if it sold in the hospital, it's medical, if it's sold to consumer, it's consumer?
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Or better describe it as if it's sold to a hospital, it's counted in our industrial business. Well, it wouldn't be to a hospital, but to a customer that supplies to the hospital.
Vincent T. Roche - President, Chief Executive Officer & Director: Yeah.
David A. Zinsner - Vice President, Finance and Chief Financial Officer: It's in our industry business. And if it's supplied to a consumer products company, it's a consumer, a piece of consumer rather.
Tore E. Svanberg - Stifel, Nicolaus & Co., Inc.: Thank for that clarification.
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Thank you.
Operator: This question comes from Stephen Chin with UBS.
Stephen Chin - UBS Securities LLC: Thanks for taking my question. Earlier, you provided some good color around the distribution channel and inventories, and also orders. I was wondering about the other half of sales to your direct customers, and in particular can you remind us what products or end markets are mainly represented in your direct sales? And also any color on order trends, as well as inventory levels at direct customers. That would be great.
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Well, we have all, or we have OEM customers in all of our end markets. I would say that a disproportionate amount of our distributor revenue is sold into the industrial market, and a disproportionate of our OEM revenue is sold into the consumer communications and auto markets. And what was the follow on question? I missed that part.
Stephen Chin - UBS Securities LLC: Yeah, the order trends coming into the current quarter versus last quarter? Pretty stable? Similar to the...?
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Yeah, yeah, sure. So I think we probably saw the weakest month in February, but as I said, I think that was pretty much as expected given the Lunar New Year. It kind of popped back up in March, it was a little bit better in April, and it's been pretty stable through at least May 19. So I would characterize the environment right now as pretty stable.
Stephen Chin - UBS Securities LLC: Great, thanks.
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Thanks.
Operator: This question comes from Deepon Nag with Macquarie.
Deepon Nag - Macquarie Capital (USA), Inc.: Yeah, hi, guys. Talking about distribution inventory, so they came down pretty hard. Have you, first of all, was that primarily due to the European customers just not wanting to hold inventory? And have you seen them more willing to take on inventory now that currency has hopefully stabilized a bit? And incremental gross margins, should we still kind of think of 80% as the correct drop through? And can you guys talk about the puts and takes, especially as Hittite starts moving their products internally? Thanks a lot.
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Yeah, so I wouldn't read too much into the fact that inventory came down this quarter, because I think that generally happens this quarter. It's usually a very strong POS quarter, or ship-out quarter for distributors. And so we generally do see inventory roll off a little bit. I don't think it had anything to do really with currency. And it wasn't specific to any one geography, it was pretty much they all came down pretty much at the same rate. On the gross margin front, the fall through, it generally is 80% obviously. If you do the math for the third quarter, that wouldn't be the case, mainly because we're bringing utilization down a little bit in the mix impacts. But I think generally, that's rule of thumb that's probably in the range of what we would expect gross margin to follow through as long as the growth rate is pretty balanced across all of the end markets. And so, the products manufactured internally, you know, get as much of a lift as the ones that are manufactured externally.
Deepon Nag - Macquarie Capital (USA), Inc.: Great, thanks a lot.
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Thanks.
Operator: The next question comes from Harlan Sur with JPMorgan.
Bill C. Peterson - JPMorgan Securities LLC: Hi, good afternoon. This is Bill Peterson calling in for Harlan, thanks for letting me sneak one in. I guess, thinking about the auto segment, and since the pipeline tends – you have some visibility, I think, for next year's model, things like that. Where do you see the relative growth? I believe you said safety would relatively outperform, but how would you rank rate safety, infotainment, and powertrain for the coming years, in terms of growth potential?
Vincent T. Roche - President, Chief Executive Officer & Director: Yeah, probably, we've three primary applications: we have infotainment, safety, and powertrain. So I would say in terms of relative growth, probably safety and powertrain will lead and we'll have good growth in infotainment, but I think a lot of the growth should be driven by safety and powertrain.
Bill C. Peterson - JPMorgan Securities LLC: Okay. That's helpful. Thank you.
David A. Zinsner - Vice President, Finance and Chief Financial Officer: Thank you.
Ali Husain - Director-Investor Relations: Thank you very much. It looks like that was our last question. So thanks for joining us tonight. We look forward to talking to you on our next quarter's earnings call which is scheduled for August 18, 2015. So, with all that, good night everyone.
Operator: This concludes today's Analog Devices conference call. You may now disconnect.